Operator: Good afternoon, ladies and gentlemen, and welcome to the presentation of BNP Paribas 2018 Full Year Results. For your information, this conference call is being recorded. Supporting slides are available on BNP Paribas IR website, invest.bnpparibas.com. [Operator Instructions] I would like now to hand the call over to Jean-Laurent Bonnafe, Group Chief Executive Officer. Sir, please go ahead.
Jean-Laurent Bonnafe: Thank you. Good morning. Good afternoon. Welcome to BNP Paribas 2018 results presentation. In today's presentation, we'll cover the first 3 chapters of the slide presentation: group results, division results and 2020 plan. First, I will take you through the summary of our group results, and then Lars Machenil will lead us through the results by division, and then I'll update you on our 2020 plan. At the end, together with Philippe Bordenave, we'll be pleased to take your questions. So now we're on Slide 3 and looking at our 2018 key messages. BNP Paribas showed good business activity on the back of economic growth in Europe, with outstanding loans progressing by 3.9% year-on-year. The revenue evolution was, however, penalized by the still low interest rate environment in Europe and an unfavorable market context with particularly challenging market conditions at the end of the year. In more detail, revenues at the operating division showed good overall resistance and were just 0.4% lower on a comparable basis despite the unfavorable market context I just mentioned. Costs of the operating divisions evolved by 1.7% on a comparable basis on the back of the continued development of the specialized businesses, the Domestic Markets and IFS, but were down in the retail networks and in CIB. Cost of risk at group level was 4.9% lower compared to 2017, equivalent to 35 basis points of outstandings. The group net results stood at EUR 7.5 billion, 3% lower than in the previous year. It recorded the point-in-time impact at year-end of the sharp fall of the markets on the remaining equity stake in First Hawaiian Bank and on assets marked to market in the Insurance portfolio. One can assume that these values returns for a large part [indiscernible] normalized as illustrated by the sale of the remaining part of First Hawaiian Bank in January, which captured a good part of that. The group is well capitalized with a fully loaded Common Equity Tier 1 ratio at 11.8% at year-end. So as I will illustrate in greater detail, 2018 showed good business growth and the success of our digital transformation. Advancing to Slide 6. You can see the performance of the group and of the operating divisions in 2018, which showed overall good resilience in a lackluster market context. You can see that our net result equates to a return on equity of 8.2% or 8.8% excluding the one-offs mentioned on Slide 5., and the equivalent in terms of return on tangible equity stands at 9.6% and 10.2%, respectively. Now turning to the revenues of the operating divisions on Slide 7. You can see that globally, they held up quite well, decreasing by 0.9% or 0.4% at constant scope and exchange rates. They were almost stable in Domestic Markets as the low interest rate environment continued to weigh, but the specialized businesses showed good revenue growth. They were up 3.4% at IFS on the back of good growth and despite an adverse ForEx effect. On a comparable basis and excluding the impact on Insurance that I mentioned, they were actually 6.6% higher. CIB's revenues decreased by 7.5% due to a lackluster market context with particularly challenging market conditions in the last part of the year. Despite this, CIB showed good development on selected client segments. On Slide 8, you can see that costs of our operating divisions were up 1.7%. Domestic Markets, costs were up 0.8% with a rise in the specialized businesses on the back of continued business development but actually decreased by 0.9% in the retail networks. IFS cost evolution reflected continued business growth and the development of new products, while [ CIB ] costs marked a decrease, benefiting from the continued cost-saving measures. Moving to cost of risk starting with Slide 9. You can see that at group level, it decreased and stood at 35 basis points in terms of outstandings. Looking at the different businesses one at a time, in Corporate Banking, provision were basically offset by write-backs. Turning to the other business lines on Slide 10. You can see that cost of risk was still low in French Retail, very low in Belgium Retail and continued to decrease at BNL in Italy. In other Retail businesses, Europe-Med's cost of risk was somewhat up, mostly on the back of a moderate increase of the cost of risk in Turkey. BancWest cost of risk was still low, and Personal Finance saw an increase on the back of higher outstandings that was a bit lower in basis points. Turning to Slide 11 on the financial structure. You can see that our Common Equity Tier 1 ratio increased by 20 basis points to 11.8% compared to the pro forma level at the beginning of the year, net of some accounting and regulatory changes which came into force on the 1st of January 2018. And Basel III leverage ratio was at 4.5%, and our liquidity coverage ratio stood at 132%. The group's immediately available liquidity reserve totaled EUR 308 billion at the end of the year. The evolution of these ratios illustrates the very solid financial structure of the group. On Slide 12, you can see that our net book value per share stood at EUR 74.7 at year-end, virtually stable versus last year as it was slightly impacted by the first application of IFRS 9. Since 2008, our net book value per share has grown at an annual rate of 5%, highlighting our continued value creation through the cycle. Going to Slide 13. We proposed for 2018 a dividend payment of EUR 3.02 per share fully in cash. It is stable compared to last year despite the slightly lower net result in the line, the point-in-time effects of the market at year-end I talked about and of our attention to the consistency of our dividend policy over the years, which is illustrated in the graph. I leave you to pursue the next 2 slides of this introductory part, which illustrates 2 key components of our action plan. That's our ambitious policy on -- of engagement in society and the continuous reinforcement of the group's internal control and compliance system. And now I hand over to Lars for the divisional results.
Lars Machenil: Thank you, Jean-Laurent. Fine, ladies and gentlemen, let's start with Domestic Markets on Slide 17. You can see that it showed good business drive in the context of economic growth in the Eurozone, with loan growth in all businesses and deposits increasing in all countries. Private Banking net asset inflows stood at EUR 4.4 billion with a good performance especially in France. Domestic Markets has continued to develop new client experiences and to implement the digital transformation. As one, for example, Hello bank! has acquired new clients, reaching 3 million clients overall, and Nickel topped 1.1 million accounts opened, marking a 44% progress versus year-end 2017. I will provide some additional color on our digital successes on Slide 22 in a minute. Now if we look at the P&L. The revenues were only slightly lower at EUR 15.7 billion, still impacted by the low rate environment. That is, however, partly offset by the good business drive I mentioned above and strong growth in the specialized business. When we look at operating costs, they were marginally higher due to the continued development of the specialized businesses but were 0.9% lower in the retail networks. Given a reduction of the cost of risk and particularly at BNL in Italy, as you know, pretax income marked a 3.4% increase to EUR 3.7 billion. If we synthesize the different business lines, I'd like to highlight in particular that in French Retail Banking, renegotiations and early repayments confirmed a return to a normal level. And as a result, revenues improved in the course of the year. On BNL, thanks in particular to the continued cost of risk reduction resulting from its cautious positioning, BNL showed a strong rise in income in 2018. And in Belgian Retail Banking, we had good business drive, but the impact of low interest rate preside. And finally, the specialized businesses continued to deliver good growth. So to wrap up, good business drive and higher income for our Domestic Markets despite the persistent headwinds of the low rate environment. Now if I can ask you to flick to Slide 22 that I talked about earlier, which provides further details on Domestic Markets' successful implementation of new customer experience and digital transformation. You can see that it accelerated mobile users and enhanced mobile applications and the features, ranking as France's leading bank in terms of mobile functionalities according to D-rating. Domestic Markets continued the transformation of its operating model by streamlining and digitalizing end to end its main customer journeys as well as automating the processes, leveraging a total of 280 robots already in production at the end of 2018. Moreover, the operating division continued adapting its offerings to new banking uses with, for example, the development of LyfPay, a universal mobile payment solution which has already had 1.3 million downloads in France since it launched in May 2017. If I can now ask you to advance to Slide 23. You can see on the left the 0.9% year-on-year cost reduction that I talked about in the retail networks. Domestic Markets is streamlining and optimizing the local commercial network in order to enhance customer service and reduce costs at the same time. As you can see on the right-hand side, since 2016, we've closed 262 branches or 7% of the total in France, Belgium and Italy. And also in 2018, we removed regional management level in the French retail network. If I can now ask you to continue and look at Slide 24. It showed that Domestic Markets is in line with its objectives and its 2020 trajectory I just confirmed. Revenues are better than expectations, and we have identified an additional EUR 150 million of recurring cost savings in 2020. On the back of this, we expect a significant improvement in operating efficiency and positive jaws. All in all, we confirm our Domestic Markets' pretax return on notional equity for 2020. So this synthesizes Domestic Markets. If I can now ask you to swipe to Slide 25, where we turn to the second part of our Retail activities, International Financial Services, which continued its growth and showed sustained business activity. Expressed as outstanding loans, they were up 3.8% compared to 2017 or 7.1% at constant scope and exchange rates. And IFS reported good net assets inflows, EUR 13.4 billion increase. And the assets under management of the savings and Insurance business were, however, down slightly at EUR 1,028,000,000,000 due to the sharp drop in valuations at the year-end. I'll come back to that. In 2018, the results of IFS were affected by an unfavorable ForEx effect related to the depreciation of the Turkish lira and also the U.S. dollar. That was partially offset by some scope effects. In the terms of P&L, revenues were up 3.4% versus 2017. If we exclude the point-in-time impact of the drop in markets at the end of year on assets accounted on mark-to-market basis in Insurance, they actually rose by 6.6% at constant scope and exchange rates. When we look at the costs, they evolved by 5.4% year-on-year on the back of this business development and new product launches. The other nonoperating items totaled EUR 208 million and included the exceptional impact of the EUR 151 million capital gain from the sale of First Hawaiian Bank shares. In 2017, let's not forget, they comprised a EUR 326 million capital gain from the initial public offering of SBI Life in India. As a result -- and as a result, sorry, IFS pretax income was down by 8.8% compared to 2017 but up by 3.3% on a comparable basis and excluding the point-in-time impact in Insurance due to the market's drop at year-end. If we now look and synthesize the different businesses in International Financial Services, I'd like to highlight in particular the following. First, Personal Finance continued to show strong business drive in 2018, and pretax income clocked in at EUR 1.6 billion, up 5.9% on a comparable basis. Europe-Med completed the acquisition of the core banking activities of Raiffeisen Bank in Poland, strengthening its position as the sixth largest bank in that country. Overall, Europe-Med generated 24% pretax income growth versus the year before. At historical scope and exchange rate, income growth was still double digit but affected by the marked devaluation of the Turkish lira that I spoke about. If we now cross the Atlantic and at BancWest, and we sold an additional 43.4% (sic) [ 43.6% ] of First Hawaiian, retaining at year-end a 18.4% stake that was entirely sold in January. Overall, BancWest's pretax income was up 3.3% versus last year but down 1.4% at historical scope and exchange rates. If we look at Insurance, revenues progressed 6.6% for the full year, thanks to good business drive, but were significantly affected by the point-in-time impact of the drop in markets on assets that are marked to market at year-end. And pretax income was ultimately lower due to the SBI Life capital gain that we booked in 2017 that I spoke about. On a like-for-like basis, pretax income was only marginally lower than last year at close to EUR 1.5 billion due to the spot impact I mentioned. And that, of course, we should recover over time. The last part is Wealth and Asset Management. Revenues were up 3% year-on-year, driven by real estate but were impacted by the unfavorable markets at the end of the year and by the introduction of MiFID II regulation in 2018. Globally, pretax income was down 24%. So the IFS division, as you know, just like the other divisions, are actively implementing digital transformation and new technologies across all its businesses, as you can see on Slide 32. Client experiences is -- are being optimized everywhere with the e-signature now widely available. For instance, at Personal Finance, where already 50% of contracts are signed electronically. IFS is also continuing to successfully develop its digital bank with already 665,000 customers for Cepteteb in Turkey and 223,000 customers for BGZ Optima in Poland. The operating division is also developing new technologies and artificial intelligence with already over 130 robots handling automation of controls, reporting and data processing tasks. If I now can ask you to advance to Slide 33. IFS is showing a 2020 trajectory which is in line with the plan despite an unfavorable foreign exchange effect and hence confirms its role as a growth engine of the group. Revenue growth is in line with the plan, thanks to good business drive and the bolt-on acquisitions that have been finalized. And IFS is targeting an improvement of the operating efficiency, which will, in turn, lead to positive jaws from this year on but a tad less than expected initially due particularly to the unfavorable foreign exchange effect that I talked about. The pretax return on notional equity should thus increase to a level very close to the target. This completes the overview of both parts in Retail Banking & Services. And if I now can ask you to turn to Slide 34, where I draw your attention to the Corporate and Institutional Banking. It faced a very unfavorable market context in 2018 but confirmed its leading positions in Europe, where it ranked joint third and maintained its global market share after a gain in 2017. When we look at revenues, they stood at EUR 10.8 billion, down 7.5% compared to the year before, with contrasting evolutions in the different business lines. Costs were down 1.3%, thanks to cost efficiency measures, which stood at EUR 220 million in 2018, with the ongoing implementation of shared platforms, end-to-end process digitalization and automatization of transactions leveraging 180 robots. In CIB, we already reduced costs over the past 3 years. Overall, CIB generated EUR 2.7 billion of pretax income, down 21% compared to the previous year as the negative market was somewhat mitigated by cost reduction and effective control of risk. If I can now ask you to turn to the next 3 slides, that's basically Slide 35 to 37, and let's look at a bit more detail on CIB's activities. If we start on Slide 35 with Global Markets. Revenues were down 15.4% on the back of a lackluster context for FICC activities in Europe and particularly negative market context for Equity and Prime Services at the end of the year. FICC revenues were actually down 21% year-on-year on client activity on rates and credit in Europe stayed weak due to the ECB monetary policy, while ForEx activity performed poorly, especially in emerging markets. On the plus side, we saw some good performances in primary markets and in structured products, and FICC confirmed its top ranking for all bonds issued in euros at #9 internationally. If we now turn to equities. Revenues were down 6% year-on-year due to the impact of extreme market movements towards the end of the year and the loss on index derivatives hedging in the U.S. As you know, our equity business is focused on derivatives and has little or no cash equity, which, in market situations like that of end 2018, provides a buffer for revenues. On the other hand, client activity on equity derivatives and Prime Brokerage progressed in the year If we now swipe to the next slide, Page 36, where we look at Corporate Banking, which is another part of CIB. Revenues were down 5% but actually a tad higher excluding some capital gains that we booked in 2017 as well as the impact of our retrenching from some sectors on the back of our CSR policies as well as some parameter effect. Cash Management and Trade Finance, for example, continued their good development, consolidating their leading positions in Europe and developing very well in Asia. We also confirmed our #1 position for syndicated loans in the EMEA region. Now if we glance at Slide 37, the third part of our CIB, namely Securities Services, where revenues progressed well on the back of a strong business drive with gain of significant mandates. The business line confirmed its leading position in Europe and #5 worldwide. If we now look at the next 2 slides, 38 and 39, they summarize the active implementation of the 2020 plan in all CIB, which has continued its good development on targeted clients with over 300 new corporate groups onboarded worldwide over the last 2 years. The successful implementation of CIB's digital transformation is epitomized by the continued client onboarding via Centric. Centric, its online platform for corporates which already has close to 10,000 clients and has gained 1,500 clients in 2018 alone. As I mentioned earlier, CIB has delivered EUR 221 million of cost savings in 2018, thanks to the ongoing implementation of cost-saving measures in areas such as mutualized platforms, which are being ramped up. Thanks to the active implementation of its plan, CIB has successfully reduced its cost base by 3.5% over the past 2 years and has achieved its target for risk-weighted assets reduction 1 year ahead of schedule, allowing for a 6.3% allocated capital reduction since 2016. However, the unfavorable market context in 2018 and the resulting decrease in profitability has meant that we need to intensify and amplify CIB's transformation to get it back on the right trajectory for 2020. Looking at Slide 40, you see that CIB will be acting on 3 main axis to this end. The first is a review of the -- and the potential stopping of nonstrategic and insufficiently profitable business segments such as the recently announced stopping of our proprietary trading called Opera Trading and of commodity derivatives in the U.S. The preliminary scope of the potential exits envisaged is in the range between EUR 200 million and EUR 300 million of revenues and for a cost-income above 100% and, expressed in capital, EUR 5 billion of RWA. That's the first axis. The second axis is the intensification of the industrialization of CIB in order to further structurally reduce cost, particularly through the adaptation of the flow businesses to the fast electronization in financial markets, in particular Global Markets; the development of shared platforms at Corporate Banking; and the industrialization of the multi-local operations model at Securities Services. And all this together with the streamlining and mutualization of IT and back office. These actions will generate a further EUR 350 million of additional cost savings in 2020, bringing the total cost savings in the 2 years ahead to EUR 850 million at CIB. So this is the second axis. And then the third axis of our 3-pronged action plan, as you can see on Page 41, focuses on an even more selective and profitable growth, allowing to continue strengthening on targeted client segments in a context of only moderate growth of the global revenue pool. Based on these 3 lines of action, we've adjusted the 2020 trajectory of our CIB, as you can see on Slide 42, focusing on profitable growth with a downward revision of its revenue target. It should, however, be up compared to a weak 2018 base, a significant improvement of the operating efficiency, leading to positive jaws, thanks to additional cost savings versus the initial plan and a rise in the pretax return on notional equity to a level close to the initial objective. So this basically concludes the division results section. I now hand it back to Jean-Laurent for the last part of the presentation.
Jean-Laurent Bonnafe: So thank you, Lars. Let's now look at the last part of today's presentation, the update of our 2020 plan. On Slide 44, you can see that the environment in which we are operating is a contrasted one. In fact, while economic growth remains favorable on the whole, we nevertheless expect it to somewhat slow down, as you can see. And interest rates, which are practically low in Europe, are expected to increase only gradually. Turning to Slide 45. You can see that an important part of the group's 2020 ambition consists in pursuing our ambitious CSR policy and our commitment to making a positive impact on society through tangible initiatives. As an example of this commitment, we have stopped financing companies whose primary business is shale oil or oil production in the Arctic as well as tobacco companies. The group aims in particular to finance the economy in a sustainable way, promote the development of its employees, support initiatives with a social impact and clear measured role in the transition towards a low-carbon economy. In so doing, it wants to be a major contributor to the United Nations Sustainable Development Goals. The success of our digital transformation, which is a key component of our 2020 plan, is summarized on Slide 46 and is being achieved by effectively acting on the 5 transformation levers identified to provide a new customer experience and a more effective and digital bank. As you have seen in the presentation, digital is strongly stepping up in all the businesses. Just to mention a couple of examples, Domestic Markets already has over 8 million digital clients in Retail Banking and was ranked #1 bank in France in terms of mobile features, according to D-rating. And IFS is extensively deploying electronic signatures, which already accounts for 50% of contracts signed at Personal Finance. Robotics and artificial intelligence are developing rapidly with over 500 robots already operational. Processes are being industrialized and optimized everywhere, and now end-to-end digitalized customer journeys are being implemented. In addition, new products had been launched such as LyfPay, a value-added mobile payment solution with already 1.3 million downloads in France. On Slide 57 (sic) [ 47 ], you can see the transformation costs related to this transformation totaled EUR 2 billion in the 2-year period, '17/'18, and were in line with a plan. The recurring cost savings generated by the end of 2018 total EUR 1.15 billion, also in line with the objective. They were split 40% in CIB, 35% at Domestic Markets and 25% at IFS. Beyond 2018, if you flick to Slide 48, you can see that we have enriched our transformation plan. Given in particular the need to intensify transformation at CIB and higher regulatory costs, we want to generate EUR 600 million of additional recurring savings over and above the ones already planned. 55% will come from CIB, 25% from Domestic Markets and 20% from IFS. These additional savings will be achieved in particular through the combination of several actions: the streamlining of the IT organization and the use of the cloud, the reinforcement of the industrialization of the supporting activities with increased use of artificial intelligence, the streamlining of the setup in connection with mutualized competence centers and the optimization of real estate costs. The 2020 recurring cost saving target is just raised from EUR 2.7 billion to EUR 3.3 billion, as you can see on the top right graph. At the same time, the successful implementation of the strategy has led us to revise down the expected cost to achieve it. Therefore, for 2019, the envelope for transformation costs had been revised down by EUR 300 million to EUR 700 million. On the back of this additional cost-saving effort, we expect to generate a positive jaws effect in each operating division. If you advance to Slide 49 now, I'd just like to draw your attention to our superior risk profile, which has been confirmed by the recent European stress test. When considering the adverse scenario, BNP Paribas showed a significantly more limited impact than the average of the 48 banks tested. Similarly, the cumulated cost of risk rise under the adverse scenario is markedly lower than the sample average, reflecting our diversification and selectivity at origination and basically a cautious approach, which is designed to favor the quality of longer-term risks rather than short-term revenues. A word finally on this year's SREP for which we do not expect any change in our Pillar II requirement. To sum up, let's go to Slide 50. As we've seen, the trajectories of Domestic Markets and IFS are essentially in line with the 2020 plan, whereas CIB requires an amplification of its transformation. We forecast risk-weighted assets to grow around 2.5% per year, bearing in mind that they will be stable for CIB. We plan an active management of the balance sheet, which entails sales of noncore equity stakes and/or assets. In terms of capital management, we're not envisaging a new acquisition, and we expect an organic capital generation of at least 30 basis points per year after dividend distribution. Globally, we expect the return on equity to improve in all 3 operating divisions by 2020. On Slide 51, you will find the updated 2020 estimates for the group with an expected '16-'20 revenue growth equal or above 1.5% per share versus 2.5% in the original plan and a EUR 600 million increase in recurring cost savings from 2020 to a cumulated total of EUR 3.3 billion. Based on what we see today, we expect the return on equity to improve to a level of 9.5% in 2020, equivalent to a return on tangible equity above 10.5%. The Common Equity Tier 1 ratio will be equal or above 12% in 2020 given organic capital generation. Overall, we expect an increase of the earnings per share of more than 20% between '16 and '20, leading to an increase of the dividend per share of 35% over the same period based on a dividend payout of 50%. This concludes today's presentation. And I would like you to return that BNP Paribas is focused on its 2020 ambition and that our digital transformation is a success and we are continuing to actively roll out new customer experiences and that an integral part of the 2020 plan is our ambitious policy of engagement in society. In 2018, the group showed good business development with a very unfavorable market context at the end of the year. Net income held up well at EUR 7.5 billion, and we're proposing a EUR 3.02 dividend, stable compared to the previous year. Our group has a very strong balance sheet with a fully loaded Core Tier 1 ratio at 11.8% at year-end. Ladies and gentlemen, I thank you for your attention. And together with Philippe and Lars, we'll now be pleased to take your questions.
Operator: [Operator Instructions] The first question that we have is from Mr. Jacques-Henri Gaulard from Kepler Cheuvreux.
Jacques-Henri Gaulard: I have 2 questions. One is quite generic. It's a question on culture, okay? Your poor revenue in Equity and Prime Services seems to have been explained partly by negligence in your index derivatives hedging business. And it seems a little bit disappointing in light of the fact that since 2014 and the DoJ settlement, you were supposed to have boosted a lot of your controls. So what really went through the net? It's specific. But more generally, I'm surprised by the negative press that seems to be around you now, and you seem to have a little bit of a negative bias towards BNP Paribas. You've been the object of a documentary several months ago, which was completely innocuous but which was negatively biased. Obviously, when you have problems now, it seems that press leaks appear. I remember as far as just 5 or 10 years ago, there was no press leak around BNP Paribas. Overall, it seems the perception around the bank has changed. And it has not changed positively, and I wanted to ask you if you perceive that as well and what you intend to do to change this. That's the first question. The second is on Insurance. More specifically, I'd like to understand a little bit more the mark-to-market adjustments of EUR 180 million. Is it linked to, I would say, return to policyholder? Or is it simply the equity of the insurance company that you have invested and whether investment had to be written down?
Jean-Laurent Bonnafe: So what we'll answer in more detail is about the origin of the, I would say, situation, the loss in New York for equity derivatives. What I can tell you is there nothing that can be, I would say, linked to any misconduct or lack of code of conduct. This has to be understood very clearly. And honestly, I don't share your vision about our bad reputation or anything of that kind. So Philippe, if you want to answer the issues.
Philippe Bordenave: Yes. Yes, so this is about flow derivatives book. We are market maker on options on the S&P 500. It's a very old, standing business for more than 10 years. We are doing that. It's a clients' business. We are the counterparty. So clients are U.S. fund managers, insurance companies, mostly long-only fund managers trying to improve the return on their portfolios by mostly selling, sometimes buying also options. And so they -- we are market makers on that, and we answer on different exercise prices, different maturities and so on. And that book, well, it's -- we end up having a book which is diversified. And it is managed and hedged globally because if you try and -- each time you buy something, if you sell it immediately, it doesn't make a living. So we tend to try and keep some margins on by hedging it globally. And, well, the team was -- well, he's an experienced trader with 2 others. A small one. Very classical thing. And just it happened that in the movement of last year's -- well, starting already towards the end of November and even more and more in December, the big slide which occurred in the U.S. in a market which, at the same time, was becoming less and less liquid with very -- a lot of difficulties to change the hedges and to adjust the hedges. So the guy in charge of the book made, I would say, wrong choices, hence you -- on the way he should hedge the book. And it was a kind of a mishandling of a, well, bad -- well, poor handling. Unfortunate choices in the hedging without any breach of any kind. Not only all their limits were respected. Well, the transparency was respected. Everything was clear. The only thing that the guy in charge made [indiscernible], well, which happens in life. But -- and that's all. And it's not -- well, at the end, it's not -- well, that problem, huh. And in the same period, we lost more due -- lost -- I mean, we had a reduction in revenues much more due to the lack of volumes, which created a lack of revenues compared with the previous years due to the lack of demand and the very illiquid -- or the fact that the clients were not very active anymore at that period. And so this unfortunate event or incident is explaining the EUR 70 million out of the kind of EUR 300 million difference between '18 and '17 in the fourth quarter. So it's relatively a quarter, if you want. It's no more than a quarter of the total thing. And it's an event which is quite -- there is no negligence or no misbehavior at all. On your negative -- or sorry, your technical Insurance topic, maybe the...
Lars Machenil: Yes. Yes, sure. On -- very quickly, as a reminder, insurance is still accounted for under IAS 39. So that basically means that the majority of the instruments in which the insurance invests, they are accounted for under what is called available-for-sale, AFS. And so whatever of investments that are an available-for-sale, they do not impact the P&L except when there is a sale. Now there is a very small part of the instruments which are accounted for in mark-to-market. And this is what -- this is, for example, instruments that have mild instruments like derivatives in it or that are part of a fund which are of a nature of floating NAV, which have to be accounted for in the mark-to-market. So that's what it is and that's what -- and given the evolution -- and the downward evolution of the market at the last quarter basically led to this drop. And that is already basically for a big chunk coming back. Half of it is basically recuperated in the 4 weeks starting of the year. So Jacques-Henri, that would be the answers.
Operator: Next question from Delphine Lee from J.P. Morgan.
Delphine Lee: I just have a few quick ones. And I'm -- but before that, I would like to start with revenues. So just to come back on your new targets of at least 1.5%. Given that there has been no growth in '17 and '18, basically that would imply some 4% growth in 2019 and 2020. So given the relatively challenging rates environment in Domestic Markets, even if International Financial Services is on track, I'm just wondering, what are you actually implying for institutional banking in terms of revenue growth? If you could give a little bit of color around the revenue recovery that you're expecting given you have also some exit -- business of exits. The second question is on CIB, more specifically on the costs. You used to have a guidance and target for 2020 of 1.5% CAGR between '16 and -- under 1.5%, sorry. Just wondering what's that kind of implies right now given you have additional cost savings. Just wondering what's the cost growth. And also at the group level as well, including your additional EUR 600 million, how does that compare to your old target of EUR 29.9 billion for 2020 which you had before given there are quite a lot of moving parts? And the 2 quick questions is -- the last 3 questions, if you don't mind, is adjusted EPS of EUR 3.02. Is that going to be a new floor that you consider and you're willing to pay maybe marginally higher than 50% payout? Or would you stick in, say, '19 and 2020 to 50%? And then if you don't mind reminding us the impact of TRIM and IFRS 16.
Philippe Bordenave: On the revenues, I mean, we want to keep a little bit of flexibility, so we are not going to give you the detailed P&L anticipated for 2020 business by business. But what we can say is that your calculation is right, it implies a 4% growth per year on average in the next 2 years for the group. And you're right to stress that Domestic Markets will be certainly below that figure. We think positive area but certainly below 4%. And it implies that CIB and IFS should be over that figure, both of them, we think. As for CIB, the exits you are mentioning are going to be selected in order to represent a relatively small revenue and the high cost-income and high consumption of -- or relatively high consumption on capital. Well, the idea is just to streamline, to optimize the setup. It's not to get rid of big chunks of CIB at all. So the impact of exits should be marginal in terms of revenues. And for example, well, the 2 businesses that we have already in process of closing already are representing a very marginal level of revenues together. So that should not be a big impact on the path of the revenues of CIB. In terms of cost growth, well, the -- it's difficult to answer to your question as well because, well, another aspect is the ForEx, the foreign exchange evolution, which is going to have a big impact -- well, a significant impact as well potentially. So we -- well, I don't want to answer precisely to that question. The new floor, no, there is no new floor in terms of distribution. We stick to 50%. And so 50% is 50%. So it's very clear, the last slide. The only thing is that this year, if we had just given 50%, it would have been slightly 3% below last year or -- in terms of -- or 6% below last year in terms of distribution. And it was not warranted because, as we have explained, the kind of exceptional point-in-time marking of certain portfolios are -- if you adjust for that, indeed the group is stable in terms of results. And so the underlying, I would say, performance of the group this year is very similar to last year. And as the prospects are really positive, we saw that it would be, while not warranted, to dent the dividend somewhat. And so we decided to keep the dividend stable. But it's not a new standard, it's just an adjustment of the standard, which remains 50%. And as far as TRIM is concerned, we have already gone through the market risk TRIM and through the French retail traded TRIM, traded portfolios of the -- for the French retail. And, well, I touched who, but those 2 up to now, I mean, the impact was limited. Well -- but now we have to -- we have the other credit portfolio that are to come, and we have also the counterparty risk, which is to come as well in '19. So we -- well, it's -- we are just at maybe 1/3 of the journey. So it's not over.
Lars Machenil: [ Tony ]?
Unknown Executive: Sir?
Lars Machenil: Delphine, I think you had one last question, which was what is the impact of IFRS 16. And so that's estimated to have an impact of 10 basis points on the Common Equity Tier 1.
Operator: Next question from Jon Peace from Crédit Suisse.
Karl Peace: I wondered if you could just clarify a few comments that got reported from this morning. Perhaps it was on your press call when you talked about firstly a normalization of trading activity in January. How should we size that? Is it similar to prior year? And also, I think a comment was made around M&A about the acquisitions not being on the agenda. Is that -- does that rule out all M&A activity? Or is that just for the larger deals and smaller bolt-on deals could still be part of your activities?
Jean-Laurent Bonnafe: So the second part of the planned '19-2020 years, we're not considering external growth. Of course, nothing that could be transformational but even nothing that could be just bolt-on. We have to concentrate on the, I would say, the achievement of the digital journey, where we're very much on track. And we have to concentrate on the, I would say, new cost reduction initiatives. So this is why we're not considering anymore any kind of external growth. So this is the first point. The second one was about markets. Looking at the global market divisions at BNP Paribas, we are back to normal. So we are never commenting in terms of reserves, level of activity, but I would say we have exited the situation. We weren't sure at the end of last year. So the business is back to normal. So that was the comment we made this morning. To go back to the story of the dividend, we have to say again and stress again the fact that not only the stress on the equity derivative business was a kind of a one-off last year, and post tax it's the equivalent of more than EUR 200 million, but also there were EUR 220 million post-tax effect of point-in-time IFRS 9 -- IFRS 5-related books, the one with First Hawaiian Bank and the one with one -- some of the portfolio at Cardif. So if you look at the real underlying business of BNP Paribas last year, even if we suffered from low rates, even if we suffered throughout the year of a kind of lack of volatility in the FICC business, the underlying business is minimum at the level of '17. So this is why, from just an economic standpoint, it makes sense to deliver just the same dividend. And since the ratios and the solidity of the balance sheet allows it, we decided to proceed that way. But it's not only because the balance sheet is strong enough, it's also because the reality of the underlying business of last year is just the equivalent of the one-off '17. So this is why we are in the 2 dimensions, I would say, in good shape. We decided to go for the EUR 3.02 per share. So this is, again, what has to be stressed, and also this is because we are confident of the cash flow generation of the group. And the 12% target for Core Tier 1 ratio in 2020, which is now for us a minimum because our estimate is above, of course it factors the effect of the TRIM. It factors also the effect of new norms. So everything is factored. And the cash flow generation of the group is basically the equivalent of minimum 30 bps per year.
Operator: Next question from Jean-Francois Neuez from Goldman Sachs.
Jean-Francois Neuez: I just wanted to ask a little bit more about equities, and thank you for your explanation on the U.S. bank before. I just wanted to understand also on the rest of the drawdown in revenues compared to the prior year. You also were mentioning some of the hedging losses in equities, I guess. Would you mind please try to maybe quantify the rest of what can be considered abnormal so that we have a sense of essentially the ongoing business? And also, can we understand where the part of the hedging losses or market drawdowns are something to be recovered? Or they are just past us and that's it? And secondly, I wanted to ask about in general the cost-to-income ratio and the jaws and, obviously, the interplay of that with the ROE. I guess from here, the costs are expected for the next 2 years to be still only a touch growing and then the improvement in the operating efficiency is supposed to come from revenues. I just wanted to understand what flexibility you have given the emphasis put on jaws throughout the presentation today, the flexibility that you have to change the cost trajectory early enough so that you are not in the situation where, like in the last 2 years, the cost-to-income ratio went backwards but tries to get to where the target was.
Philippe Bordenave: Okay, Jean-Francois. On the equities, the rest is more than EUR 200 million, if you compare the -- to the fourth quarter of last -- of '17 and the fourth quarter of '18. And this can be divided into 2 parts of, well, roughly EUR 100 million each. One is just, as I mentioned, is just a lack of demand, the lack of new business in -- during this quarter, which was especially low in terms of demand from the clients for our products, the index certificates, structured derivatives, equity derivatives for asset managers. And so we -- this is not going to come back. This is just an opportunity that has been lost to -- and -- well, a lower level of activity, and we just, well, hope that the activity is going to come back and -- to normal, which seems to be the case up to now in the first quarter, and then to continue to stay. And then the other one is also probably EUR 100 million, a little bit less than EUR 100 million, is the dislocation of the markets, the different segments of the markets toward the end of last year as there were big movements down and then up at the very last days. And in a very small and empty market, indeed the movements of the different products were not respecting the normal correlations. The cash, the futures, the options were not evolving in a correlated way like they should be according to the theory and to the arbitrage relations because there were not enough market to arbitrage in those different segments. And as a result, the mark-to-market, which is virtual at the end of the year, makes that. Indeed, the different hedging relationships were not functioning at that day and created a gap of around EUR 100 million, as I said. And this is in the process of coming back with liquidity back in January. This part of the revenues is in the process of coming back and completely I think during the quarter. On the cost income, I think you have to make a differentiation. I think that what -- for Domestic Markets, clearly, the jaws -- well, the jaws are always coming from both sides. But we are, as I said, we are planning a very slow increase in the revenues, as I said. And so the costs are supposed to go down, and the jaws are going to be -- are not going to come only from the revenue side. On CIB, the costs are going to be also very, very flat. And easily on IFS, where we are planning a relatively robust evolution of the revenues, as it has been the case regularly, and a certain growth of costs as well. Your question on the flexibility on the costs, I would say, that there is one easy case -- well, easy case. Of course, on CIB, and actually on Global Markets, there is a natural variability of the costs due to the variable part of the remuneration. And for the rest -- and there, of course, we are going to be careful, and we are ready to take new measures if necessary, as shown by this plan, by the way. This plan is showing that we are launching an additional EUR 600 million savings program precisely because revenues are not completely there. So it shows that we are able to react rather quickly and to adjust the trajectory on the cost side.
Jean-Francois Neuez: And can I ask, just as a complement, how much of the revenues of -- which are planned for the growth over the next couple of years, come from acquisitions made recently which are not part of the base of 2018?
Philippe Bordenave: The scope effect -- the remaining scope effect -- it's a good question. We'll try and get -- it's Raiffeisen essentially, it's Raiffeisen and -- yes and some -- well, allow for some minutes. We'll say that later when we are looking at the figures.
Operator: Next question from Pierre Chedeville from CM-CIC Market Solutions.
Pierre Chedeville: A few questions. First question is regarding the cost in the Asset Management division. You have emphasized on the cost of setting up Aladdin at the end of the year. I wanted to know if we are going to see in the first half of 2019 another impact of this setup in the cost. And also, regarding more generally the Asset Management business, which is, as far as I understand, in the process of transformation and rationalization. Do we still have some transformation costs already in this division? And where do you see this division in terms of what you would like it to be at the end of the day? Second question is regarding the fact that you have also emphasized on the impact of restrictions on your business due to the, I would say, introduction of types of financing like tobacco, things like that. Do you think that we will have another impact of this type in the top line in 2019? In other words, do you intend to continue to stop financing some types of industries that could impact the top line in the Corporate Banking -- in your Corporate Banking business? And my last question relates to fixed income. We have talked a lot about the equity and the, I would say, exceptional revenues this quarter. But more generally, regarding FICC activities, if we look at 2018 or 2017, we can feel that -- and for all the industry, it's not specific to BNP, but we have an industry that seems to be much less, I would say, profitable in terms of regulation, in terms of customer activity, in terms of monetary policies, et cetera. What do you think regarding this industry and your position in this industry? Do you think that you have a critical size compared to the American banks, which are more and more aggressive? You emphasized the fact that your market share is flat, I would say, now. And do you think that you would need to make significant efforts regarding costs on the long term and not only for the 2 coming years?
Philippe Bordenave: So first, I would like to maybe come back on the question about -- of Jean-Francois about what is to come on the -- kind of a tail effect of the recent acquisitions in '19 and '20. I think, as for Raiffeisen, so the Polish, we expect EUR 250 million in 2019 and a little bit more in 2020 in -- well, this scope effect will bring that type of amount. And as for the Opel finance acquisition, we had a kind of relatively low year to start with because of the reorganization of Opel by PSA. And so we expect also some significant increase coming in the next 2 years. It's more difficult to -- it's the accounting figures, but we expect some significant boost there for PF, in the personal finance. So those are the answers to Jean-Francois. Moving now to your question about -- well, let's start with the tobacco, oil and the rest. I mean, at this stage, we don't have anything more in the pipe. So we -- if I may try this word, so we -- well, we think that for the next 2 years, there is -- well, we don't foresee any new renouncements. These renouncements on tobacco and shale oil and Arctic oil and gas as well, represents -- representing something like EUR 100 million per year. And well, we don't intend to -- it's already in '18 -- in the '18 figures, and we don't intend to add to that. On the fixed income, I fully agree with you that to a certain extent the FICC case is more worrying structurally than the equity derivative case. It's true that there is a kind of structural change. We are fully aware of this. And as you say, it's both due to regulation, MiFID II customers and we -- well, the only thing is that towards probably later than 2020, maybe towards the end of 2020, and we will see the -- well, maybe at some point, the interest rates going up in -- with the end of the full year and maybe some increase in interest rates at some point in Europe. And it has been visible in the U.S. that as soon as the Central Bank is starting to tighten, even if it's low, it creates a lot of buzz and animation in the market because everybody is trying and guessing when and how much the tightening is going to occur. And so it creates the need for more hedging or position-taking, so the clients are more active around the movement than they are active around no movement at all like it is the case in Europe at the moment. So this could bring some kind of relief at some point. But still, there is a structural tendency towards electronification and pressure on margins in FICC. More and more business is conveyed directly and the kind of end-to-end process from the client to the market with little opportunities to take significant margins in the middle. And so it's precisely why we -- the adjustments in cost we are planning in CIB are going to be implemented in order to -- well, to keep -- well, to try and adjust to this situation. We are really conscious of this, and we are addressing that through cost cutting, as there is no other solution. On the Asset Management maybe, yes...
Lars Machenil: I can maybe very quickly. So indeed, we have all the Aladdins, which are not just genies in a bottle, but where we are starting to reap the benefits of the cost reduction related to it. So we don't anticipate for 2019 to have a pickup in costs in SMA.
Operator: Okay. Next question from Anke Reingen from Royal Bank of Canada.
Anke Reingen: Firstly, on your targets again. I mean I understand that you moved your ROE target given the change in environment, but I'm just wondering, what's the risk of you sort of like moving the goalpost again if the environment looks worse? Or is the focus of the efforts first on cost to reach the revised ROE targets? And then secondly on capital, the at least 12% target. Does that mean you're happy with 12%, post TRIM? Or are you really targeting above 12%? And sorry, just on the capital, the increase in the [ bond ] in the fourth quarter doesn't seem to have an impact on the risk-weighted assets. Would it have a knock-on effect only coming through in Q1?
Jean-Laurent Bonnafe: So, what happened in the last quarter, equities have no impact on the, I would say, the computation of risk-weighted, beginning of next year -- of this year to '19. So there is nothing of that kind. And of course, depending on what is kind of worsening of the situation, in any case, we're adopting the cost base to deliver the 9.5%. I would say the main issue for today, a bank in Europe, is the direct scenario. I believe that looking at the CIB platform and taking into account that what -- recall that equities is a kind of one-off, was to take care of the structural, I would say, evolution of the FICC business. For that one, [indiscernible] was the, I would say, the deleveraging the cost base. The rate scenario is the most difficult one to mitigate. But as far as we can see, what we have now in our, let's say, business plan is taking into account, I would say, the trend situation and the most recent evolution of the rate curve. So the 9.5% is to be considered as the target for 2020 and nothing else.
Anke Reingen: And the question on [indiscernible]
Jean-Laurent Bonnafe: Yes, the 12% is the target for BNP Paribas. And based on our estimates, in 2020, the group would be above that initial target.
Operator: Next question from Bruce Hamilton from Morgan Stanley.
Bruce Hamilton: Just a quick follow-up on capital, given obviously that's a key focus for the market. In terms of the 2019 impacts, can you just run me through? So you said 10 bps negative from IFRS 16. Obviously, TRIM is a question mark. What else is there that would benefit you in terms of disposals that are not yet reflected in capital and any exits? And what else, if TRIM were a bigger number, what kind of options are at your disposal to accelerate the capital build, should you need to? I mean, is it easy to find 50 bps from other "noncore disposals" or questionable sort of business units? How should we think about that?
Philippe Bordenave: Well, we are not expecting minus 10, as you said, TRIM maybe also, 10 or 20, I mean we are not expecting huge amounts of additional requirements. It's more a kind of erosion, a regulatory erosion, I would say, of the ratio, which is kind of sustained and regular, but not huge. So in front of that -- on top of the 30-odd basis points of organic creation, we have, as you say, well, some outlook for sales. The most, I would say, obvious one, which has already been preannounced to an extent, is our stake in SBI Life in India, where we have already sold a stake. And we have said that anywhere for regulatory reasons, both SBI and us, we have to manage to increase the floating part of the shares to 25%. And so -- and now that is listed, so we can, of course, do more. So we have here a possibility to generate significant capital gains, as you know, as we have done already once. And so it's a kind of a reserve which can be tapped. Sorry, I've not -- I missed [ your last question ], sorry.
Bruce Hamilton: No, that was it really. And then the other impact, IFRS 16, you said negative 10 bps would be the other impact. There are no others you're expecting. I guess, you should get what, 5 bps back or so from the exit of prop and other. Just any other items we should be thinking about that will either hinder or help the capital build over the next 12 months?
Philippe Bordenave: I don't think so. But overall, we -- being at 11.8% if this kind maybe a range for you. We expect to be already at 12% at the end of the year. But we expect an increase of the ratio during the year in spite of TRIM and in spite of IFRS 16.
Operator: Next question from Omar Fall from Barclays Capital.
Omar Fall: Just coming back to the implied revenue growth of 4% over the next 2 years. I can understand a bit of a jump this year as CIB normalizes, but surely, that's mainly offset by the EUR 200 million to EUR 300 million of revenue reduction from the nonstrategic review. And given that in terms of scope effect, it feels like less than a 1% impact or so. The 4% target looks rather aggressive, if I may. So why should BNP structurally grow so far ahead of a reasonable estimate of Eurozone GDP? And secondly, and apologies if this is simplistic or I've missed something, but how are you adding EUR 600 million of cost savings while reducing the amount of restructuring cost by EUR 300 million? Why are there no restructuring costs associated with the additional EUR 600 million?
Philippe Bordenave: On the -- well, it's a kind of a little bit shortcuts to compare the evolution of CIB of revenues and the Eurozone GDP. Beyond Eurozone, we are growing fast in Asia and in the U.S. also. Beyond that, CIB, it's not only the Global Markets. It's also the global banking business. It's [indiscernible], which is growing and growing fast. So yes, it's ambitious. We are -- well, we really manage the bank in ambitious way. It's a minimum you are expecting from us, but we believe it's reasonable. And on the cost...
Lars Machenil: And maybe just as a complement, Omar, remember, I mean when you talk about the 2018 equities, that there's also the 2018 effect of what we said, First Hawaiian Bank and Cardif, which were on the results. And then there is the scope effects like Raiffeisen to come. So if you take it in that scope, the amounts don't seem totally out of line.
Philippe Bordenave: Otherwise, on the cost, we have -- yes, we have cut the restructuring costs by 10%. Indeed, we have made a kind of complete analysis of the way we have -- well, we started the work early in the year, in the summer already in '18. And we have seen that the way we were expanding the EUR 3 billion of restructuring cost, and we came to the conclusion that it was possible to dent them by 10% and without having any impact on the cost cutting. We'll have some -- I would say, there will be some renouncement in the digital transformation, but to a limited extent, and there are a certain number of digitalization programs or customer journeys that are going to be somewhat delayed. But we believe it's -- well, it doesn't change the substance of the transformation, which is a success, and it's something we can achieve. And as for the additional cost reductions, we are not -- well, we are asking -- well, the businesses, to take that into their normal cost without allocating any specific restructuring cost anymore, and they will have to put -- self-finance the necessary transformation cost or the cost associated with a certain number of evolutions, which are going to make those savings possible.
Jean-Laurent Bonnafe: Again, on the revenue evolution, we are ready to sum up a number of elements. So in '18, we had the drop on equities, the range of, let's say, back to normal would be EUR 350 million on top of what we saw last year, EUR 350 million. Raiffeisen full year compared to last year, it's an equivalent to EUR 250 million. So EUR 250 million, EUR 350 million, it's equivalent of EUR 600 million. And pretax portfolios from Cardif that were marked down is around EUR 200 million. So if you look at the '18 revenue base, EUR 800 million, that is roughly 2% of the total of the division. That's where, I would say, below -- this has to be factored to look at the remaining 4% and additional 4% to reach on average 1.5 to the plan. So we have to start with this idea that '18, in terms of revenue, basically EUR 800 million or more.
Operator: Next question from Stefan Stalmann from Autonomous Research.
Stefan-Michael Stalmann: I have 2 questions left, please. The first one is on the remuneration of super subordinated notes, which actually went up quite a bit year-on-year, almost 30%. And all of it seemed to happen in the fourth quarter. After 9 months, it was almost flat year-on-year. And then the outstanding amount of these notes is also rather unchanged. So the question is, was there anything particular happening in the fourth quarter? Is the full year run rate the normal run rate? Or could this possibly drop back again? And the second question, I guess, was related to funding issues. You've actually issued quite a lot of nonpreferred senior so far this year at quite a high price, about 120 basis points more above mid-swaps than last year's nonpreferred senior issuance. At what point could this start to be a problem for your business plan? Or have you calibrated your business plan sufficiently for this kind of funding cost on this part of your funding structure?
Lars Machenil: Stefan, thank you for your questions. First, on the TSSDI, so the run rate that we see is basically the run rate we anticipate and anticipate going forward. This is a bit of a step up versus '17 for 2 reasons. Yes, there is somewhat volume evolution, but there is also -- we had some exceptional elements in 2017, which made the cost a bit low. So all in all, 2018 is a good level to look forward. And on your nonperforming on the NPS, we basically -- as you know, the cost of liquidity that we have, we cater that in, we take that into account in the way we price into the businesses. And so that is basically what we do. So if there is -- as long as it is a natural evolution that we're seeing in the price, we basically take care of that in the overall pricing.
Operator: Next question from Laura (sic) [ Flora ] Benhakoun from Deutsche Bank.
Flora Benhakoun: My first question is going back to the cost flexibility. If I'm right, I calculate that when I compare the new target to the old one, you've basically reduced your revenue plans by almost EUR 2 billion. But then when I look at the cost base that is implied for 2020, in the end, it's only been reduced by EUR 200 million. So my question is, wasn't there more cost flexibility possible to offset this difficult revenue environment? And why didn't you go for something more drastic on costs given that this is something that is probably more in your control than revenues, which also depend on obviously the difficult environment? The second question is going back to the jaws. Why you expect to deliver positive jaws in each division in 2019? I'd like to know if this is something that will be rather back-end-loaded and that will basically show rather in H2 '19 results? Or is it something that will start already as early as with Q1 results potentially? And one last question is something we haven't touched about, but the cost of risk. I was wondering if you could give us some more on insight on how you see cost of risk develop at group level in your plan towards 2020?
Jean-Laurent Bonnafe: So if we look at the cost reduction, there are really 2 different situations. There is the initial plan that is very much the digital transformation. And for at least 2 years and where, I would say, the verge of finishing the transformational digital plan, we were very much concentrated on that plan, and anything that was cost reduction was linked to new customer journeys, to put it that way. So this is one bucket. EUR 2.7 billion recurring cost saving. That was the target. We'd been able to optimize the investment we were supposed to have from EUR 3 billion down to EUR 2.7 billion. So this is one bucket. There is another bucket covering other initiatives, Philippe presented, that are more, let's say, regular cost-efficiency approach that we were not able to tackle before, I would say, being so advanced in the transformation plan, so this is a separate bucket. And this will deliver an additional EUR 600 million. Could we have done that before? I doubt of it. This is not an excuse. Just because to deliver that, you have to leverage IT system, you have to leverage a number of issues, even in, I would say, for our own premises, when you are going so fast in the transformation case -- transformation of the digital plan. You're onboarding, I would say, new FTEs, so you cannot deleverage, I would say, square meters and so on and so on. So these are really 2 different buckets. The EUR 600 million are on top of the first initiative that is the initial plan. And they are very different from that first initiative. So these are two-fold. Is it possible to do more, looking at 2020? Maybe. For 2020, it's only 1 year ahead. So the impact of the EUR 600 million has to be, let's say already now [ helped ] by the end of '19. If we want to get the full impact of the EUR 600 million, we need to have delivered all the underlying projects that we've delivered the EUR 600 million. So this is why, even in theory, the EUR 600 million could be maybe in the range of EUR 1 billion. If you look at the scenario, if you want the full impact of the EUR 600 million, you have to have delivered all the initiatives by the end of '19. So this is why, on the other side, the EUR 600 million is a kind of a maximum, let's put it that way. The jaws, we are very much committed to deliver the jaws effect for all the 3 divisions next year, starting from the 1st of January. In any case, we have to deliver that for '19. So this is the situation we are in. Cost of risk, we believe that cost of risk at BNL will continue to decrease. Currently, we are at 75 basis points. It will go down to 50, even lower than that. This is very much the result of our strategy with BNL. We have basically exited the low call SME business, and we are concentrating heavily on SME caps. So this is -- for sure, cost of risk at BNL will go down. And in terms of bps, cost of risk measures in terms of exposure, we do not see looking 2 years ahead, we do not consider that cost of risk could go up in terms of ratio. Of course, Personal Finance is a growing platform. So the cost of risk in absolute terms will most likely go up. But in terms of bps, it would be very much stable. So, we consider that '19, '20 in terms of ratio, bps, we should see a kind of stabilization. Of course, with Turkey, we can have some limited negative news, but limited. And at BNL, we should have positive, I would say, news. So all in all, in terms of bps, we should stay very much stable looking ahead.
Operator: Next question from Maxence Le Gouvello from Jefferies.
Maxence Le Gouvello du Timat: Two questions on my side. First, a follow up regarding the capital management on the question on Bruce -- from Bruce. You haven't mentioned First Hawaiian, the last 18.5. Do you still aim to dispose it for -- by the end of 2019? The second question is regarding the cost in the Capital Market in Q4. You mentioned that apparently you have already accounted for the closure of some of the activities that you want to close. Can we have an idea of roughly what is the cost income underlying to do our forecast?
Philippe Bordenave: So, Maxence, First Hawaiian, well we have already sold it in the -- and we have not, of course -- it was not included in the fourth quarter because it happened in January. And indeed, the impact in -- the gain on capital is very limited. It's very -- fairly negligible because the bulk of the ratio impact was taken when we deconsolidated, when we went through -- when we -- when the consolidation -- the global consolidation was -- disappeared. And according to IFRS 9, it's at that time that you take the most impact hit. So the additional impact in ratios is negligible. The additional impact in revenues, of course, there is a capital gain, which, by the way, is helping us recouping already half of the -- what we had lost in December because we sold it at a price which was close -- well, halfway -- roughly halfway between the mark-to-market at the end of December and the price that we had to mark in our book when we deconsolidated. So we have recouped -- well, already something. The -- about the cost income...
Maxence Le Gouvello du Timat: Because you had to add [ EUR 132 billion ] on Q4, and you mentioned in the slide that apparently you have already taken into account the cost of some closure, can we have a rough idea?
Philippe Bordenave: Yes, yes, yes. But the underlying -- underlying of the costs per division in Global Markets?
Maxence Le Gouvello du Timat: In Global Markets, yes.
Philippe Bordenave: Question is Global Markets.
Lars Machenil: The cost income.
Philippe Bordenave: The -- well, once adjusted for the cost of closure, it's -- I don't have the figures. Sorry. We'll...
Maxence Le Gouvello du Timat: But can we assume that you will be to the usual 80%, 85%? Or it will be even higher?
Philippe Bordenave: No. It will be much higher.
Lars Machenil: The cost income? You talk about the cost income, Maxence.
Maxence Le Gouvello du Timat: Yes. Yes.
Lars Machenil: The cost income would be better than 80%.
Maxence Le Gouvello du Timat: Okay.
Philippe Bordenave: Target is not...
Lars Machenil: Target for 2019.
Maxence Le Gouvello du Timat: Okay. But on the Q4 '18 adjusted?
Lars Machenil: For the cost that we have of changing and adapting Global Markets. If you look at the normal run rate, yes, it's definitely not something with 3 digits, it is more around the 80% or better than that, depending a bit on the revenues.
Operator: Next question from Kiri Vijayarajah from HSBC.
Kirishanthan Vijayarajah: Just a couple of follow-up questions on your CIB plans, if I may. So firstly, is there a leverage exposure reduction you've got in mind to go alongside that RWA reduction target that you have? And could you also sort of give us a bit more color? Is there any particular SKU towards kind of U.S. or U.S. dollar-type of assets or businesses that you're potentially going to sell? And then how do the cuts -- the RWA cuts fall between FICC and the equities business, please?
Philippe Bordenave: In the -- you are referring to the EUR 5 billion risk-weighted asset equivalent that we intend to sell? So part is already in the 2 businesses we have already mentioned, and the rest is -- well, we are going to -- it's going to encompass the global banking business as well. So we are -- it's -- we -- well, we are going to make a kind of a selective -- a more selective approach of the businesses we are conducting and we don't want to be too specific on the idea we have in order to improve this setup. But it's not only -- it's certainly not only FICC or derivatives, it can also be coming from the global banking business. It can be for a while. It can be, for example, certain geographies where we are relatively small and where our setup could be just closed because it costs more than it brings in certain areas or countries.
Lars Machenil: We cannot say more about it. You'll see it once it's done.
Operator: Next question from Jean-Pierre Lambert from KBW.
Jean-Pierre Lambert: I would like to come back to the CIB. The previous plan had a cost-to-income ratio target of 64.5%. Has that target changed? Would it move to towards 70%? Or you expect this to remain stable? And the second question, regarding the business you're exiting, is there any implication, any connection with your views on adjustments for Basel IV environment? And the third question is regarding the ROI, return on investment, for your digital investments. What kind of minimum ROI are you looking at based on your experience before you cut off initiatives?
Lars Machenil: Yes. Sorry. With respect to your question on the cost income, can you just repeat your question because we were working on your other question? Can you repeat the question?
Jean-Pierre Lambert: Sure. Sure. Looking at Corporate and Institutional Banking, the previous cost-to-income target for 2020 was 64.5%. And I'm wondering which direction is it moving now under the revised plan. Is it going up? I presume yes. And I was wondering if you could give some indication, are you moving toward 67%, 70%? That's the question for the first question.
Lars Machenil: Yes. So indeed, if you look at what we observe in one of the changes in the plan is that the growth, the top line growth that we foresee at CIB is a tad more moderate than what we have anticipated. We, of course, compensate for the costs, but not entirely being able to get to cost income, yes. So -- but we will be -- definitely, we will be staying at a cost income which is definitely below 70%. And so can you...
Jean-Pierre Lambert: Yes, sure. And the second question was, regarding the businesses you're exiting or plan to exit, is there any connection with your view on Basel IV? Or is that another adjustment to come, post 2020? Do you anticipate some deterioration due to Basel IV and have you exited some business on that basis as well?
Lars Machenil: For the moment, let's be fair. Basel IV is not yet cast in a law. So that is -- whatever we optimize, we are not going to take into account what potentially could be a Basel IV environment, so we optimize within the current setup.
Jean-Pierre Lambert: And the final question was related to the minimum ROI you expect when you proceed with digital investments because you now have an experience of screening these investments. So what kind of color can you give the ROI you -- the minimum, how do you want to see?
Jean-Laurent Bonnafe: Most of investments we're running in the business is, I would say, transforming customer journeys. The bank that is already -- the current existing bank, away from the [ pure LO ] bank or a situation, let's say, for Nickel. Most of it is very much taking the trend down and transforming the customer journey. So there is nothing different looking at the digital investment and a regular investment. It's exactly the same approach. When we are moving or considering external growth, we have exactly the same standard. So anything we are doing should deliver midterm return on equity that is current with group targets. There's nothing that is below. And of course, in the digital universe, as far as we can see, in any business, in any geography, revenues and especially fees are pushed down. So even if you're much more efficient in the efficiency, the cost base, the cost income, all in all, is not that different compared to the old model. If you do not move that way, then you have a problem because the market as a whole is pushing down margins, fees and so on. So ultimately, if you stay with the old model, your cost income is going to deteriorate quite dramatically. So this is the way we consider the situation. We are looking at the customer journeys. We are addressing those situations. We deliver new customer journeys. This has to, I would say, protect the bank in terms of franchise, quality of execution. This is valid for CIB. This is valid for Retail. And in a universe in which revenues, margins, fees and so on and so on, regulation are pushing everything down. That approach is providing, I would say, additional efficiency, but you are not going ultimately to see anything on the cost income just on the back of the digital evolution. On the back of the digital evolution, cost income can only stay at the same level, but it protects the bank from seeing a kind of deterioration.
Operator: Next question from Nick Davey from Redburn.
Nick Davey: Two quick questions, please. The first one on the TLTRO. There's been a few news articles suggesting the ECB needs a bit more convincing about maintaining the TLTRO. So could you just talk a little around -- perhaps offer them some convincing? Or perhaps more seriously, just talk about how you plan for the potential scenarios of TLTRO carrying on or being withdrawn? I'm thinking about things like your NSFR and possibly also how you fund BNL. Just any comments there will be interesting. And then secondly, just a quick one. Sorry again to come back on this cost discussion around the underlying savings. The simple question is really, can we expect group costs to come down in 2019? I'm just wondering -- can obviously see where you're aiming to get to in 2020, but just so we can help to kind of benchmark you along the way, do you think we'll already see absolute cost declines for the group in 2019?
Philippe Bordenave: So, Nick, your first question. The -- we are -- at this stage, we are really taking as an assumption that the TLTRO will come to an end. We think that the -- as expected. And we are extremely liquid, and it wouldn't be that much problem, frankly. We would have to somewhat increase our support to BNL in terms of liquidity. But at the group level, it's not an issue at all. I would like to stress that in their toolkit, the Central Bank, they have -- before going to the TLTRO, they had some intermediate tools that they used for some time and they couldn't make a step back and with a -- replacing the TLTRO with funding like 2 months, 3 months. So I don't remember how it was called -- TRO -- MROs. So they have a toolkit where they can adjust and withdraw the TLTRO without creating a big, say, mess in the market. And in any case, in our case, we are very, very liquid. The NSFR, now that we have the final tax, you -- well, it's not yet voted, but the [ TLAC ] -- well, has come to a kind of compromise wording between the parliaments, council and the commission. And then given that tax we -- I mean, the NSFR will not be an issue for us at all. I mean, as we have to issue long-term debt anyway for the TLAC/MREL purpose, the NSFR will be easily met. And the costs...
Lars Machenil: With respect to the costs, it is -- if you look at -- and your question is specifically to 2019. So in 2019, we have still the transformation costs going on, and there is some acquisitions and particularly Raiffeisen, which stepped up the costs. So from that point of view, we more have stability on the costs in 2019 from that point of view.
Operator: Next question from [ Matthew Clark ] from Mediobanca.
Unknown Analyst: Three questions, please. Firstly, the tax rate was very low in the fourth quarter specifically. I understand there was some favorable tax dispute resolved. Could you quantify what impact in euro terms they had and maybe give a bit more information on what they were about? Secondly, with regards to the mark-to-market hit on the insurance portfolio taken in the fourth quarter, should we impute that, that meant in the first 9 months there was a positive mark-to-market gain on that portfolio? And if so, please could you quantify what that positive mark-to-market gain was over the first 9 months. And then finally, just a clarification. You commented that you expect 30 basis points of kind of organic CET1 accretion normally. I just want to check that, that is before any kind of regulatory headwinds of TRIM or IFRS 16 or whatever, so that's just baking in your kind of normal RWA growth, but not anything else that the regulators might throw at you? Is that the right way to interpret that 30 basis point figure?
Lars Machenil: Maybe taking that last question. So the 30 basis points we talked about, yes, indeed, it's the organic creation that we're having. And what we said is we have some other elements when we talk about optimizing the balance sheet, that could generate some other strengthening of the capital that would be compensating some of the other events that might be decided on by the regulator. So that is a bit from that point of view. On your first question on taxes, you know how that typically goes. The taxes, you have to look at it on a year basis and one makes every quarter. One takes assumptions. And then at the year-end, we really look at the overall position. So yes, during the quarters, we have probably been a bit too prudent to assume a tax rate which was high because we saw that several discussions and litigations that we have, were evolving in a positive way. And so we reflected that in the taxation on the fourth quarter, and that is why it is lower compared to what we had before.
Unknown Analyst: Can I just follow up on that specifically? So these litigations, have they been fully resolved, so there's like a favorable court decision that's kind of final? Or is this just your interpretation of things are a bit better than you were hoping, but you're -- you don't have the all-clear yet?
Lars Machenil: No, there are several aspects, and there are some for which there are steps which are basically taking it better, there are some which are basically concluded. So it's a bit of a mix depending on the situation. Yes, on the insurance, so as we basically said -- as I said, the parts that are mark-to-market, it's a relatively small part of the investment portfolios that they have. And given the sharp drop also in time, the impact was around at 180. The impact was in this 9 months before, it was overall from that portfolio was rather limited actually, so there is nothing remarkable to mention about it.
Unknown Analyst: Okay. So limited relative to that 180? So we're talking 10s rather than 100s?
Jean-Laurent Bonnafe: Each time it's significant, we signal it.
Lars Machenil: Even if it would be positive, we would signal it, yes. Would we have had all the questions, operator?
Operator: Yes. Back to you for the conclusions, sir.
Jean-Laurent Bonnafe: Yes. So thank you very much. Again, we consider that last year we delivered most of the digital transformation while getting very positive strong signals that this new approach is not only valid but will outgrow the franchise in many dimensions. Ultimately, if you look at past year results, and if you would consider that what happened at the life insurance portfolio or the mark-to-market valuation of First Hawaiian Bank, the kind of one-off, last year results are very much in line with '17. So this is why the dividend is stable. And again looking ahead, capital generation is strong, 30 bps per year. We will reach more than 12% Core Tier 1 equity in 2020. And based on the current, I would say, rate scenario and taking into account the fact that the FICC business in Europe will be ultimately different from what we expected 2 years ago, we adapt the target for 2020 with that 9.5% return on equity, which corresponds to an increase in dividend beginning in end of '16 to 35% and net result per share of more than 20%. So in a nutshell, this is the -- where we are and how we intend to deliver the second half of the plan this year and next year. Thank you very much again for your attention. And for some of you, see you tomorrow in London. Thank you so much.
Operator: Ladies and gentlemen, this completes the call of BNP Paribas 2018 Full Year Results. Thank you for participating. You may now disconnect.